Operator: Greetings. Welcome to the Tecnoglass, Inc. Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to Brad Cray, Investor Relations. Thank you. You may begin.
Brad Cray: Thank you for joining us for Tecnoglass' fourth quarter and full year 2023 conference call. A copy of the slide presentation to accompany this call may be obtained in the Investors section of the Tecnoglass website. Our speakers for today's call are Chief Executive Officer, Jose Manuel Daes; Chief Operating Officer, Chris Daes; and Chief Financial Officer, Santiago Giraldo. I'd like to remind everyone that matters discussed in this call, except for historical information are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding future financial performance, future growth, and future acquisitions. These statements are based on Tecnoglass' current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may differ in a material nature from those expressed or implied by the statements herein due to changes in economic, business, competitive and/or regulatory factors and other risks and uncertainties affecting the operation of Tecnoglass' business. These risks, uncertainties and contingencies are indicated from time-to-time in Tecnoglass' filings with the SEC. The information discussed during the call is presented in light of such risks. Further, investors should keep in mind that Tecnoglass' financial results in any particular period may not be indicative of future results. Tecnoglass is under no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements, whether as a result of new information, future events, changes in assumptions or otherwise. I will now turn the call over to Jose Manuel, beginning on Slide number 4.
Jose Manuel Daes: Thank you, Brad, and thank you, everyone for participating on today's call. We are proud to report another outstanding year, marked by strong operational accomplishments and record financial performance across many of our key financial metrics, the relentless dedication of excellence across our businesses. Our innovation domestically integrated business model are all reflected in our solid full year results. During 2023, we produced record total revenues of $833 million, achieving a record adjusted EBITDA of $304 million and produced record gross profit of $391 million. We are pleased to accomplish these results, while maintaining a resilient industry-leading margin profile. We more than doubled our addressable market with our strategic entrance into the High End Vinyl end market. We relocated our global headquarters to Miami, Florida, aligning with over 95% of our revenues sold from key U.S. markets. Our prudent management of working capital allowed us to generate impressive operating cash flow of $139 million for the year. At the same time, we have preserved a strong balance sheet, which provides ample flexibility for future growth and additional returns for shareholders. And finally, we completed our strategic investment to expand operational capacity by 40% to roughly $1.2 billion of revenue, including installing. We have been experiencing healthy multi-family commercial demand, so both high demand from our innovative products and increased commercial activity in our key geographies. This drove an increase in backlog to a record of $870.1 million at the year end. We continue to gain market share in key geographies, despite a challenging macroeconomic environment. We have also taken a disciplined approach to managing costs. We are leveraging our vertical integrated structure, entire (ph) automation investments to drive operational efficiency. This focus is evident in our full year gross margin of approximately 47%. We achieved this despite the previously discussed foreign exchange headwinds in the back half of the year. Furthermore, our solid capital position has given us flexibility to invest in a structural enhancement, increase our dividend, repurchase share, and improve leverage. We are pleased to improve our net debt to adjusted EBITDA to a record low of 0.1 times as of December 31 of 2023. In summary, 2023 was another exceptional year for Tecnoglass. We are pleased with the value we have created from our returns oriented investments, which have positioned Tecnoglass as a leading architectural glass and window player. Through our vertically integrated platform and continued geographic positioning and proven growth investments, we have established an accessorial track record of cash flow generation. This is helping us create additional value for our shareholders, as we look to 2024 and beyond. We are very confident in the strategic actions we have taken during 2023 and remain excited about the prospects of driving above-market growth through the attractive vinyl window market, strengthening customer relationships and geographic diversification. Based on our strong market growth and continued strength in pipeline activity, we are projecting another year of double-digit revenue growth. This highlights our ability to continue taking market share even in the face of challenging macro headwinds for our industry. I will now turn the call over to Chris to provide additional operating highlights.
Chris Daes: Thank you, Jose Manuel. Moving to Slide number 5. Our fourth quarter results were in line with our expectations and reflect the resilience of our business model as we navigate a turbulent macroeconomic environment. Our results during the quarter demonstrated our ability to leverage our unique competitive advantages to preserve margin strength and generate solid cash flow. Backlog grew each quarter through the year and as of year-end, stood at a record of $870.1 million, reflecting a strong pipeline of multi-family and commercial projects. This represented roughly 1.7 times our LTM, multi-family and commercial revenue. Equally as important, the pipeline activity remains robust, and we continue to see incremental signings year-to-date. Overall, despite the highest interest rate environment, we are levering favorable demographic trends in our markets. We are seeing solid levels of multi-family and commercial quoting and bidding, and we have a strong base of activity that gives us confidence in our ability to achieve another strong year in 2024. We will continue to focus our efforts on adding new customers, entering new markets and providing best-in-class service. While we are growing our backlog, we are being mindful to focus on projects that will allow us to sustain our industry-leading margins. We have an innovative R&D pipeline of high-performance products that should allowed us to continue growing faster than our end markets. Our pipeline includes products developed for both the new geographies we are penetrating as well as products to support our expansion into the vinyl market. The expansion and automation investments made in recent years put us in a position to effectively execute our growth strategy with ample operational capacity and less CapEx requirements. In addition to the strong visibility afforded by our growing backlog, we are excited about the long-term growth potential of our single-family residential business. Early feedback from the sampling of our vinyl products are encouraging, giving us confidence that vinyl will provide meaningful contributions to revenue over time. Moving to Slide number 6. We expect this momentum and a strong bidding activity we are seeing will help us keep a strong book-to-bill ratio, which stood at 1.2 times as of the quarter four 2023. This adds to our track record of maintaining a book-to-bill ratio above 1.1 times over the past 12 consecutive quarters. Historically, roughly two-thirds of our reported backlog are invoiced over the following 12 months. We believe that this provides a strong visibility on invoicing, despite the fact that certain external factors can cause temporary delays in delivery. Looking at the favorable demographic trends we see in our key regions on Slide number 7. Our key markets remained strong demographically, as sovereign states continue to experience above average population growth relative to the rest of the country. Single-family housing starts remain resilient in the South due to this robust population growth. In Florida, our largest market, single-family housing permits have shown a notable increase in the past few years, and activity in our main metropolitan areas are showing growth even against tough prior year comparisons. All of these trends point to resilient activity in the key markets where we conduct the majority of our business. I will now turn the call over to Santiago to discuss our financial results and outlook for 2024.
Santiago Giraldo: Thank you, Christian. Turning to single-family residential on Slide number 8. During the fourth quarter, we generated single-family residential revenues of $77.1 million compared to $85.1 million in the prior year quarter. The year-over-year change was primarily due to slower sequential and year-over-year activity, resulting from much higher interest rates and mortgage rates. Despite a challenging macroeconomic environment and a year of declines in housing starts, we were pleased to produce record full year 2023 single-family residential revenues of $335.4 million. We continue to see market share upside in single-family residential revenues through a variety of factors. This includes our widening dealer base, enabled by short lead times, new product introductions, geographic expansion throughout Florida, additional showrooms in other markets and our recent entrance into the vinyl market. This provides significant runway for revenue growth and product diversification on a long-term basis. To that point, on Slide number 9, I would like to highlight a few key points from our recent strategic entry into vinyl windows. Our strategic entry into vinyl windows has significantly expanded our addressable market. We were pleased to begin shipments of our innovative vinyl products in December. We are currently working with additional clients and prospects to perform a significant amount of testing and sampling in order to ramp up deliveries throughout 2024. In addition to our showroom expansions, we are excited for what the future holds for Tecnoglass in the vinyl market. We expect these high-end value added vinyl products to contribute more meaningfully to results, particularly in single-family residential after the second quarter of 2024 and beyond. Importantly, we've already completed a significant portion of the anticipated CapEx to enable our facilities and operational infrastructure to accommodate this transformational initiatives. We expect this strategic entrance into the vinyl segment will more than double our addressable market, with an opportunity to add an incremental $300 million in annual revenues in the coming years. Our entry into the vinyl window market is expected to provide a range of benefits to Tecnoglass and our customers. Notably, we see attractive synergies, given many of our existing dealer customers already sell both aluminum and vinyl windows, and we are able to leverage our manufacturing expertise and vertically integrated operations to make this a relatively seamless addition. We already have two new vinyl distributors signed in Sarasota and Tampa, and approximately 30 to 40 legacy dealers in Central and Northern Florida that have been quoting projects and testing the products. This early traction gives us confidence in future demand for our vinyl products, and we are excited for the immense opportunity we see in this end market, given the size of the addressable market throughout the U.S. Turning to the drivers of revenue on Slide number 11. Total revenues for the fourth quarter decreased 7.8% year-over-year to $194.6 million, due to lower single-family residential revenues with a multifamily and commercial business performing in line with internal expectations. Total revenues for the full year increased 16.3% year-over-year to a record $833.3 million, mainly attributable to a strong rebound in multi-family and commercial activity, resilient demand for our single-family residential products and market share gains compared to prior year. Looking at the profit drivers on Slide numbers 12 and 13. Adjusted EBITDA for the fourth quarter 2023 was $62 million, representing an adjusted EBITDA margin of 31.8%. Adjusted EBITDA for the full year increased 14.5% year-over-year to a record $304.1 million, representing a margin of 36.5%. SG&A for the fourth quarter was $32.4 million or 16.7% of revenue compared to $33.4 million or 15.8% of revenue in the prior year quarter. The increase in SG&A as a percentage of revenue was primarily due to lower revenues year-over-year. For the full year, SG&A as a percentage of total revenues was 15.7%, an improvement of 140 basis points over the prior year. Fourth quarter gross profit was $83 million, representing a 42.6% gross margin. This compared to gross profit of $110.2 million, representing a 52.2% gross margin in the prior year quarter. The year-over-year change in gross margin mainly reflected an unfavorable FX impact related to functional currency and a steep revaluation of the Colombian peso of approximately 15% year-over-year. Additionally, gross margin was impacted by lower revenues and an increase in the mix of installation versus product revenue during the quarter. Gross profit for the full year increased 11.9% to a record $391 million, representing a 46.9% gross margin and in line with our target range of 47% to 49% for the full year 2023. As a reminder, we estimate that each movement of 5% in FX equates to approximately 150 basis points in operating margins. Now looking at our strong cash flow and improved leverage on Slide number 14. For the full year, we generated another very strong year of operating cash flow of $139 million. This was driven by higher profitability and strong working capital management. The full year included capital expenditures of $78 million, which included payments for previously purchased land for future potential capacity expansion. CapEx also included a significant portion of previously disclosed investments in facilities and operational infrastructure related to our entry into the vinyl window market. Given our higher installed capacity, we expect a meaningful decrease in capital expenditures in 2024. Our impressive cash generation has allowed us to unlock additional value in our business through share repurchases and increases in our cash dividend. We returned capital to shareholders through $23.5 million in share repurchases during the year, leaving roughly $27 million of remaining purchase power under the current authorization. Additionally, given the visibility afforded by a record backlog, as of the year-end and the expectation for continued strength in cash flow, our Board of Directors has approved a 22% dividend increase to a quarterly payment of $0.11 per share. This reflects our commitment to return incremental cash to shareholders. We ended the year at a record low net leverage ratio of 0.1 times net debt to LTM adjusted EBITDA, down from 0.2 times in the prior year. As of December 31, we had a cash balance of $130 million and availability under our committed revolving credit facilities of $170 million, resulting in total liquidity of approximately $300 million. Overall, we remain very pleased with our efforts to grow our cash generation capabilities, which, in turn, has provided us with multiple levers to drive additional value in our business. On Slide number 15, I would like to reiterate our exceptional track record of creating value compared to the industry. On average, over the past three years, our stronger profitability and meaningful step-up in cash flow generation have driven significant above average returns. When comparing our ROE and ROIC metrics to those of U.S. building product peers, the returns on reinvestments into our business plus dividends have driven substantially higher value to our shareholders, further validating our growth strategy and capital allocation priorities. As you can see on Slide 17, the upward trajectory of our revenue and adjusted EBITDA remains positive, and there is a latter runway for growth. Our recent capacity additions and entrance into the vinyl window market have provided us with the capabilities to produce over $1.2 billion of annual revenues, including installation. We remain as confident as ever in our ability to achieve another year of exceptional growth and above-market returns in 2024 and beyond. Now moving to our outlook on Slide 18. As Chris mentioned earlier, our key markets remain largely resilient, and we have witnessed positive trends indicating improving demand. We remain confident that 2024 has strong potential to be another year of double-digit revenue growth based on the visibility afforded by our backlog and by the different avenues for growth in our single-family residential business, including the new vinyl initiative, showroom openings and geographical expansion. That being said, given the current lack of clarity on U.S. macroeconomic factors, mainly the trajectory of interest rates going forward, we believe it is more appropriate and prudent to provide explicit guidance ranges for full year 2024 revenue and adjusted EBITDA at a later date. In addition to potentially having better clarity on macroeconomic indicators, in the coming months, we should be better able to assess the cadence of growth in the single-family residential business and the timing of invoicing in certain projects. This includes projects in backlog as well as single-family residential, where we already see improving trends as well as a healthy amount of interest for our new line of vinyl products. In place of explicit ranges, we will provide some additional color on our growth outlook. In regards to margins for the year, we expect gross margins to step up from the levels seen in the last two quarters of 2023 based on a stable FX rate and the expected operating leverage resulting from a sequential increase in revenues throughout the year. While we assume FX rates will remain stable with current levels based on internal expectations and economies projections, as a reminder, we estimate that every 5% movement in FX has an approximate 150 basis points impact on adjusted EBITDA margins. Therefore, despite the expected quarterly improvement in gross margin after Q1, for the full year 2024, it is reasonable to assume gross margin will be lower than the 47% level seen in the full 2023 year. This is predicated on two main factors: First, a stable FX rate since the beginning of 2024 results in a Colombian peso that is on average 10% stronger than the average FX rate for 2023 based on the current and projected 2024 FX levels. Second, we anticipate an increased mix of revenues from installation compared to 2023. Based on the timing of projects, scheduled maintenance of our facilities in January and the expected ramp-up period of our vinyl products, we anticipate the first quarter of 2024 to be roughly similar sequentially to Q4 2023 in terms of revenues, with a higher degree of installation mix sequentially. The first quarter of the year is expected to be the seasonal low quarter of the year than increasing sequentially thereafter. Finally, cash flow from operations is expected to remain strong for the full year. Free cash flow is expected to improve in 2024, given the majority of capital expenditures related to facility automation, expansion and vinyl related investments having been completed. With all of this in mind, we continue to be very excited about our business prospects and growth opportunities for this year and beyond. As discussed, we have several avenues to expand our market share for years to come. In summary, 2023 was another milestone year for Tecnoglass. Demand for our innovative product portfolio remain resilient, and we've made great progress against our growth strategy through geographic expansion, new product introductions and our entrance into the attractive vinyl window market. As we look to 2024, we are optimistic in our ability to continue growing faster than the market, while unlocking additional value in our business through our highly efficient cost structure, targeted investments and strategic positioning in attractive U.S. markets. With that, we will be happy to answer your questions. Operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Sam Darkatsh with Raymond James. Please proceed with your questions.
Samuel Darkatsh: Good morning, Jose Manuel, Chris, Santiago. How are you?
Chris Daes: Good morning.
Santiago Giraldo: Good morning, Sam.
Jose Manuel Daes: How are you?
Samuel Darkatsh: So I've got three questions, if you forgive me. So first, and you mentioned Santiago, the first quarter sales expected to be flattish with the fourth quarter with the installation element higher. So could you help us in that vein, what you might be pegging for realistic gross margins and EBITDA for the quarter?
Santiago Giraldo: Yeah. In gross margin, Sam, I will see something in line with Q4, perhaps. I would expect that over the quarter, being the fact that we're going to have more mix, there's going to be a little bit of a headwind in there. But from an EBITDA perspective, we wanted to wait and see what the cadence of the orders on the residential side are looking like, and then we'll be able to determine that. But it should be kind of in line with Q4 all around from an FX perspective. If you look at what's happened in the last six months, FX has been really stable. The main impact was year-over-year. As you recall, 2022 had a very depreciated peso. But in the last six months, it's been rather stable. So I think from a quarter-over-quarter comparison, the FX pressure is really behind us. So I would expect something more in line with Q4 and then sequentially growing thereafter, as we said on the call, and that's based on what we're expecting from the timing of deliveries and also from the timing of how the vinyl initiative is ramping up. And the other thing is that, as you know, in January, we have a scheduled maintenance where we only had about 20 days -- 20 working days. So that has an impact in there as well, which we did not have in January of last year.
Samuel Darkatsh: Yeah. Because that's normally in December, right?
Santiago Giraldo: Yes, more in December. So this time is going to be a little bit unusual.
Samuel Darkatsh: Got it. So the gross margin and EBITDA, similar to fourth quarter or just gross margin? I was trying to get a sense of EBITDA also. I'm sorry.
Santiago Giraldo: I think EBITDA could be in line or slightly lower based on the mix of revenues. And then, as I was saying, just ramping up throughout the year.
Samuel Darkatsh: Got it. And then I respect the reticence to talk about EBITDA for the entirety of '24 because of macro uncertainty. But if you just thought that the sales growth would be 10%, which is the low end of your double-digit growth expectations, how should we think about what prospective EBITDA might look like under that scenario?
Santiago Giraldo: I would consider two things on that. You're going to get operating leverage on higher sales, but then you're going to have the effect of FX, which for 2023 was at 4,325 (ph) and what we're projecting for 2024 is in line with current conditions, which is 4,000. So you're talking about the peso being stronger by about 8% to 10%. As we discussed earlier, and we alluded on the call this morning, for every 5% movement on FX, you have about 150 basis points of impact to operating margins, right? So at the end of the day, you're going to have operating leverage, helping out with double-digit growth, but then you're going to have the impact of FX for the full year, which we see stable, but then 8% to 10% stronger year-over-year versus 2023. So if you kind of back into it, I think we can -- there's a chance that we can grow EBITDA, but it's going to be probably more in line year-over-year based on mainly FX and mix.
Samuel Darkatsh: Got it. So we would use a normal -- sorry, you'd use a normal incremental margin on the 10% volume growth and then apply a 300 basis point or so headwind from FX? Is that the way to think about it holistically?
Santiago Giraldo: Yeah. And if you look about the guidance or the high-level color that we're giving on gross margins, we ended up at 47%. And if you do kind of the math on gross margins that we're talking about for 2024 and discussing mid-40s gross margins, you already kind of have that effect baked in there, right? I mean you have a 300-basis-point effect on FX, which gets you to about 44%. The difference from then is going to be how much operating leverage can we get, how fast is this residential initiatives going to ramp up. So that's going to be the upside. And obviously, we can get more operating leverage on those higher revenues. But then you kind of offset that with the fact that we're going to have more installation mix. So those are the three variables that are kind of playing a part in there. All-in-all, I think that mid-40s is probably the run rate and the adequate way to project gross margins.
Samuel Darkatsh: And then my last question, thank you for that Santiago. My last question, lots of price increase announcements from U.S. windows -- single-family window manufacturers and a lot of your competitors of late. Are you anticipating raising prices for single-family resi in line with those announcements or are you looking to keep pricing flattish and maybe pick up some share as a result?
Jose Manuel Daes: Well, we don't have any plans to increase prices because to the contrary, we have good sources for aluminum and glass. We see no price increases on that end. So our clients are very happy with our price point. And actually, February was better than expected month than August. So we're very happy with where we are right now. We're not going to increase prices, at least not this month or next.
Samuel Darkatsh: Very helpful. Thank you, gentlemen.
Santiago Giraldo: Thanks, Sam.
Operator: Thank you. Our next questions come from the line of Stanley Elliott with Stifel. Please proceed with your questions.
Stanley Elliott: Hey. Good morning, everybody. Thank you for the question. On the vinyl initiative, can you talk about how much you're assuming that vinyl would contribute to the double-digit revenue growth you guys are targeting for the year?
Santiago Giraldo: Yes. It's basically weighted towards the second half, first of all, because what is taking place right now is the delivery of sampling and testing of the product, so bear that in mind. But we are seeing that contributing more meaningfully in the -- after the second quarter of the year to the range of probably $20 million to $25 million in total orders. Now if it ramps up better than expected, that's where you're going to see the upside come from. But early indicators on feedback and what's going on right now are encouraging, Stan.
Stanley Elliott: Great. And then could you remind us again kind of what you're thinking about from a CapEx perspective for the coming year, now a lot of that heavy lift is done. And then how are you all thinking about maybe accelerating a buyback at this point?
Santiago Giraldo: Yeah. That's going to be one of the strongest points for 2024. We see probably the best free cash flow year that the company has ever had. And that's predicated on the fact that we again, are seeing double-digit growth. And CapEx is expected to essentially go down by half, I would say, to the range of $40 million to $45 million. So that's going to give us a lot of flexibility to do many things, including being opportunistic on the buyback. As you know, we still have roughly half of the program available to us. And if we make sense, the free cash flow is going to be there to get another approval, if you make sense. So we'll definitely be opportunistic on that end.
Stanley Elliott: Perfect. And last for me, with kind of a lot of moving parts this year, how should we think about SG&A maybe on a dollar basis or a percent of revenues, however, you want to frame that out, but just to kind of give us some direction there?
Santiago Giraldo: Not a whole lot of changes, I would say in there, Stan, other than the adjustments that you have to do on salaries locally, which are to the order of 8%. But other than that, the only moving pieces are on the transportation and commission side, which are the variable expenses related to higher sales. But nothing really out of the ordinary. I wouldn't say flattish, but I would imagine that growing slightly less than revenues. And that's also based on the fact that we have some non-recurring expenses in 2023, which we do not expect in ‘24. So to that extent, I would imagine that we can generate operating leverage on those higher sales.
Stanley Elliott: Perfect. Thanks so much for the color. Appreciate and best of luck.
Santiago Giraldo: Yeah. Thanks.
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Tim Wojs with Baird. Please proceed with your question.
Tim Wojs: Hey, guys. Good morning.
Santiago Giraldo: Good morning, Tim.
Tim Wojs: Maybe just on the underlying kind of residential business. I guess, what do you think has kind of changed over the last three to four months? And I think Jose Manuel you said that February was a little bit better. I mean has that business kind of gotten back to growth? I'm just kind of curious as you kind of look at expectations and order rates and things, what have you been hearing from your customers around kind of the underlying residential business?
Jose Manuel Daes: Well, this residential (ph) business we expect to grow because we are moving upward. We were only selling a lot from, let's say, St. Petersburg, South of Florida. And now, we're moving all the way up to Georgia, Carolina and also Tampa, the Panhandle (ph). So we expect that market to grow. It was installed for three, four months. I mean, not bad, but it wasn't growing because a lot of housing projects were delayed because of the high interest rate. But lately, it seems that the interest rate went down like 1 point, and people are enthusiastic. Like I just said, this month was a very good month for me, February. We're very happy. And I think the trend, I mean we just went to the show in Vegas, and the acceptance of our new products for Northern Florida and outside of Florida has been tremendous, and we're very happy.
Tim Wojs: Okay. That's good. And then Santiago, just on the cadence of kind of growth through the year, I guess how -- I'm just trying to kind of understand maybe like how we should think about the sequential ramp? Would you kind of expect it to be fairly linear through the year or is there more of a, I guess, second half weighting to kind of some of the sequential improvement at this point?
Santiago Giraldo: I would expect sequential improvement each quarter. Typically, you know that Q2 and Q3 are the best out of the year, but that’s again going to depend on how the vinyl initiative and the geographical expansion on the residential side ramp-up. But I would model it – as we were saying, Q1 in line with Q4 is going to be the seasonal low quarter, given the fact that we had almost half a month of January of invoicing, and then ramping up the rest of the year is how we’re modeling this out.
Tim Wojs: Okay. Very good. Thanks, guys.
Santiago Giraldo: All right. Thanks.
Operator: Thank you. We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Mr. Jose Manuel Daes for closing remarks.
Jose Manuel Daes: Okay. Thanks everyone for participating on today's call. We expect to keep giving good news to our investors, and I think this next two, three years are going to be fabulous for the company. Thank you.
Operator: Thank you. That does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.